Operator: Good morning. My name is Natalia, and I will be your operator today. Welcome to Ecopetrol's Earnings Conference Call, in which we will discuss the main financial and operational results as of the Third Quarter of 2024. There will be a questions-and-answers session at the end of the presentation. Before we begin, it is important to mention that the comments in this call by Ecopetrol senior management include projections of the company's future performance. These projections do not constitute any commitment as to future results, nor do they take into account risks or uncertainties that could materialize. As a result, Ecopetrol assumes no responsibility in the event that future results are different from the projections shared on this conference call. The call will be led by Mr. Ricardo Roa, CEO of Ecopetrol; Rafael Guzman, Acting Executive Vice President of Hydrocarbons; Camilo Barco, CFO; and David Riano, Executive Vice President of Transition Energy. Thank you for your attention. Mr. Roa, you may begin your conference.
Ricardo Roa: Welcome to the operational and financial results call of the Ecopetrol Group as of September 2024. I am pleased to report that we have maintained solid growth across all our operational segments, reflecting the commitment and dedication of our team, as well as the company's resilience in addressing operational and environmental challenges. By the end of September 2024, we achieved a production of 752,000 barrels of oil equivalent, a figure we have not seen in the last nine years. Additionally, we transported an average of 1,126,000 barrels per day and reached the highest level of refining throughput in the history of our refineries with an average of 418,000 barrels per day. In terms of production, I would like to highlight the status operations at the Orotoy station, which received the first barrel of crude oil from the Akacias field in October. This facility will be able to process up to 15,000 barrels of crude oil; 60,000 barrels of water and 700,000 cubic feet of gas daily. In the medium-term, it could reach up to 50,000 barrels of crude oil per day, ensuring production and reserves for the coming years. Regarding the offshore exploration, I stand out a positive ruling from the Santa Marta court, which allows us to continue our operations at the Sirius-2, well, crucial for the country's energy security. In the Transportation segment, we successfully secured the evacuation of all our fields overcoming the challenge pace during the quarter and achieving the highest transport volumes in the last five years. As for refining, we reached a historic high throughput and continued warranty fuel supply to the country, while progressing on the execution of our annual plant shutdown and major maintenance plans at our refineries. I also highlight the successful preparation and execution of the industrial production test for the sustainable aviation fuel sub, demonstrating our commitment to cleaner operations and products. Let's move to the next slide, please. Despite the pressure from external factors such and exchange rate and inflation, our operational and financial performance places as at a historically high level for the last nine years at the company. We closed the first nine months of the year with revenues of COP 98.5 trillion, and EBITDA of COP 42.3 trillion and a net profit of COP 11 trillion. When normalized, excluding external factors, it would be COP 16.0 trillion, an increase of nearly 10% compared to the same peer in 2023. Our EBITDA margin of 43% demonstrates our strong ability to maintain profitability in a challenging environment. This quarter, we achieved historical sales above 1 million barrels of oil equivalent per day, maintaining our efficiency with a single-digit to differentiate. Regarding debt, I would like to highlight the successful liability management transaction executed in the international market of $1.75 billion. The oversubscription was 2.6 times with participation from over 200 investors from the United States, Europe, Asia and Latin America. This transaction showed Ecopetrol's strong credit profile with the lowest spread and coupon obtained by the company in the last two years. Finally, the receivable accounts from the fuel price stabilization point was 65% lower compared to the same period last year, allowing better conditions for the execution of our 2025 investment plan. Now let's move to the next slide. Regarding TSG, I want to mention the following milestones as of September. In the environmental front, we have achieved a cumulative reduction since 2020 of 1.89 million tons of CO2 equivalent in Scope 1 and 2 emissions in our operations. As of September, we have already completed 97% of our annual target for 2024. Additionally, we have reached a cumulative energy optimization since 2018 of 14.24 Petajoules which is equivalent to annual energy consumption of departments of Boyacá, Huila and La Guajira in Colombia. Socially, the Ecopetrol Group has invested over COP 341 billion in sustainable territorial development. I highlight the completion of nine projects in lieu of taxes during the third quarter of 2024, valued to have COP 26 billion and benefiting 38,000 [ph] students in the Departments of Meta, Bolivar and Tolima. Since 2018, this mechanism has allowed the Ecopetrol Group to complete 63 projects valued at all COP 471 billion. In terms of science, technology and innovation, we have implemented over 100 digital solutions promoting energy efficiency and decarbonization. By measuring the contribution to the net income and regional GDP from our investment, we proved how sustainability generates financial benefits and acts as a catalyst for the country's economic development. In terms of governance, I want to recognize the effectiveness of our association internal policies. Currently, 65% of our Executives come from internal talent and have extensive experience in the sector. Finally, I want to highlight Ecopetrol's participation in COP16 as host and panelists in a total of 33 events. I now hand over to Rafael Guzman, who will speak about the Hydrocarbon segment.
Rafael Guzman: Thank you, Ricardo. As of September, exploration CapEx of $330 million has been recorded as the highest within the last four years. By year-end, we estimate the drilling of 16 exploration wells, one additional well versus the previously announced plan. In the 2024 exploration campaign, we advanced with the drilling of 10 wells. One, the Series 2 well was declared successful, located in the Caribbean offshore. Onshore, we completed the drilling of five wells that are currently undergoing long-term production testing. These wells are Gamal Profundo-1 operated by Ecopetrol in association with Repsol; Caripeto-1 operated by SierraCol and Toritos Sur-1, Toritos-2, Toritos Norte-1 wells operated by GeoPark in partnership with our subsidiary Hocol. By the end of October, the last three wells plus Bisbita-1 well reached production of almost 2,000 barrels of oil production per day, increasing total production from Janus 123 block by 49%. Lastly, we had four wells with no commercial hydrocarbon volumes corresponding to Milonga-1, [indiscernible] wells. The following wells are being drilled Arantes-1 operated by Parex, Florena N18 operated by Ecopetrol, both located in the Piedemonte, Llanero, Bisbita East well operated by GeoPark located in the Eastern Plains. Also, we began drilling the Sirius-2 Site-Track well to perform formation testing and acquisition of subsoil information necessary for the development of the project. Furthermore, the Gato do Mato project is in the final planning phase awaiting for the final investment decision to be made by the consortium members. This date is estimated to be first half of 2025. Related to progress with government entities since 2023, we have been developing an agenda with the National Hydrocarbon Agency and the Ministry of Mines and Energy of Colombia with the aim to increase activities in the areas of existing contracts and agreements, achieving the following; first, the signing of the Rio Magdalena agreement on July 31st, 2024, which allows us to access exploratory prospects in the Middle Magdalena Valley; and second, the extension of 15 contracts prolonging their exploratory period from two to five years. Let's move to the next slide, please. Our offshore Caribbean portfolio has discovered and prospective resources potential amounting to 75 tera cubic feet of gas. As you can see in the map, we have three clusters. The North Caribbean cluster in partnership with Petrobras in the GUA-OFF-0 block, where the serial discovery is located and for which I will elaborate in the next slide. In this block, we expect to drill two new prospects by 2025 in order to confirm the potential of the block. The South Caribbean cluster, in association with Shell, where the Kronos, Gorgon and Glaucus Discoveries are located. And finally, the alterative water Cluster in association with Oxy Anadarko, where the COL-1 block is located, in which the Komodo-X1 well is expected to be drilled. Once the environmental license is granted by the National Environmental Licensing Authority, NELA, we need to find together with the operator a right the slot that coincides with the appropriate weather print. Let's move to the next slide, please. We are pleased with the favorable decision of the Santa Marta Court that allows us to continue with operations at the Sirius-2 Sidetrack 1 well. Meanwhile, we are awaiting a decision from authorities on whether or not the prior consultation is needed. We expect this decision by November 30. The good news is that we expect to continue to move forward with operations according to the schedule, even if the prior consultation is required. With information so far obtained from the Sirius-2 appraisal well, extension of the Sirius-1 discovery well was confirmed with an estimated original intent volume potential to date of 6 tera cubic feet. As is shown in the time line in the graph below, we are integrating the process to reduce the time to market of the Colombian Caribbean offshore project, carrying out in parallel to the exploration and operation, the development activities in order to declare commerciality between 2026 and 2028 and gradually start the progression of resources to reserves. In 2025, we expect start engineering designs for early development and production of gas for the domestic market between 2029 and 2030. As explained in the upper right graph, four environmental licenses are required for the development of the Sirius discovery. First, the subsea development of the Sirius field; second, the construction of subsea line that will transport production to the Barrancabermeja Complex, which already has a proposed route. Third, the biz crossing point with the facilities and last one for the onshore facilities at the Barrancabermeja complex, which serve as a connection node with national transportation system. Let's move to the next slide, please. In the first nine months of the year, the Ecopetrol Group reached a production of 752,000 barrels oil equivalent per day, an increase of 22,000 barrels of oil equivalent per day compared to the same period of previous year. As it can be seen in the graph of left side, production is leveraged on the production growth of our subsidiaries, where Permian's production stands out with a contribution of 95,200 barrels of oil equivalent per day and sustained domestic crude oil production leveraged by Caño Sur, Rubiales Rex Noreste, Castilla and Chichimene fields, which almost most fully offset the natural decline. On the other hand, deferred production due to social unrest issues was 6,800 barrels of oil equivalent per day, representing less than 1% of Ecopetrol's group total production and in line with previous years. In terms of drilling activity, we advanced with 343 development wells drilled and completed, maintaining the levels of previous years, with an average occupancy rate of 23 rigs. The upstream net income reached COP2.7 trillion for the third quarter of the year, reflecting an increase of 2.4% compared to the same period of the previous year, mainly leveraged on higher production levels, better prices in our crude oil basket and lower tax provisions. On the right-hand side of the slide, I would like to highlight two main projects. First, the entry of the Orotoy production station, which, as Ricardo previously mentioned, we leverage the future reserves of Block CPO-9. It will enable a progressive increase in Ecopetrol's net production of 5,000 barrels per day at the end of 2024 and up to 25,000 barrels of oil per day from 2026, consolidating the CPO-9 asset as one of the region's major producers. Second, regarding the air injection pilot at Chichimene, the National Hydrocarbon Agency and the National Environmental Licensing Authority approved its continuity for three additional years. This pilot has allowed us to incorporate 915 million barrels of oil in contingent resources, which demonstrates the potential for large-scale implementation. Let's move to the next slide, please. In the Midstream segment, transported volumes in the first nine months increased by more than 21,000 barrels per day compared to the same period of 2023, mainly leveraged by the increase in crude oil production in the Llanos area, coupled with the higher deliveries of Castilla Norte crude coming from Barrancabermeja. Due to damages caused by third parties to the Cano Limon Covenas pipeline during the third quarter of 2024, four reversal cycles of the recent energy pipeline were carried out, evacuating more than 1 million barrels, thus ensuring the production of the Cano Limon field. Lastly, the Midstream segment maintained a solid financial performance during the first nine months of the year, adding up an EBITDA of COP8.3 trillion, representing 20% contribution to the total EBITDA of the Ecopetrol Group. The EBITDA reduction compared to the first nine months of 2023 is mainly explained by external effects such as exchange rate and inflation, partially compensated by higher revenues and cost efficiencies, as shown in the bottom right figure. Let's move to the next slide. As of September 2024, the refineries achieved historic throughputs of 418,000 barrels per day. This was accomplished even under a challenging environment and an intense period of major scheduled maintenances. The Cartagena refinery completed its maintenance plans, and the Barrancabermeja refinery intervened 85% of the units, ensuring the reliability of its assets. Refining gross margin decreased by $13.6 per barrel versus the third quarter of 2023 to $7 per barrel, 75% of this impact is due to the drop of international fuel prices, mainly gasoline and diesel, 14% impacted by the execution of the first major scheduled maintenance of the hydrocracking unit at the Cartagena refinery, which since its start up in 2016, completed its first eight-year cycle, 9% mainly due to the effect of the lower availability of light crude oil at the Barrancabermeja refinery as a result of the of the attacks Cano Limon Covenas pipeline. And the remaining 2% was the result of the power shutdown at the Cartagena refinery, which, thanks to the timely response of the teams was overcome in two days, guaranteeing the national fuel supply and where our subsidiary, ISA provides support to ensure the continuity of energy supply. In addition, we began the implementation of the plan consisting of 16 actions to mitigate fuel power supply risks at its facilities. As a result, the EBITDA for the year was COP2 trillion, 72% less than the same period of 2023, mainly affected by aforementioned factors in addition to the exchange rate and inflation effects. Normalizing these external variables, EBITDA would have been COP7.1 trillion for the year, with an EBITDA margin of 13.8%. By year-end, we expect to close the year with an average throughput between 415,000 to 420,000 barrels per day. Let's go to the next slide. During the first nine months of 2024, Ecopetrol continued to materialize its comprehensive efficiencies and competitiveness strategy with a contribution of COP3.2 trillion, exceeded by 10% and 81% compared to those achieved during the same period of 2023 and 2022, respectively. By year-end, we project to achieve efficiencies between COP4.2 trillion and COP4.5 trillion, which will exceed our 2024 targets. As is shown in the upper right graph, these efficiencies offset the increase in total unit cost by $0.79 per barrel, which reached $47.3 per barrel in the first nine months of year. To conclude, the lifting costs, transportation costs and refining cash costs were impacted by exogenous factors related to inflation, gas prices, the El Nino phenomenon and the exchange rate. Nonetheless, when we normalize these effects in each of the aforementioned metrics, cost levels are similar to those obtained in the first nine months of 2023. Now I will turn it over to David, who will discuss the main milestones of the engines for the transition business line.
David Riano: Thank you, Rafael. Ecopetrol remains implementing all necessary actions and investments to contribute to the country's energy security and meet the demand for natural gas in Colombia. For the year 2025 through existing contracts, Ecopetrol has committed a total of 551 GBTUD per day, representing 65% of national demand, excluding the natural gas consumed by thermoelectric power generation. During the same period with the aim of supporting the country's supply, we reduced our gas purchasing requirements to about 25 giga BTU per day, by optimizing our operational consumption, which accounts for approximately 2.5% of national demand. By 2026, we will contribute 370 giga BTU per day to the market through already signed contracts, representing 43% of national demand, excluding power generation consumption. Additionally, we have an extra volumes of an average of 131 giga BTU per day in 2026, which could be fully marketed through signed contracts. Once the Ministry of Mines and Energy and the Energy and Gas Regulatory Commission have made gas commercialization more flexible, it's important to point out that despite the progress made across all areas of natural gas, challenges still remain regarding environmental permits, prior social consultations, regulatory flexibility and transportation infrastructure, to name a few. On the energy transition front, we remain focused on energy efficiency, making significant progress by the close of the third quarter of 2024, with savings of 11.3 petajoules in thermal energy and 2.9 petajoules in electrical energy for a total of 14.2 petajoules since the start of the program in 2018. This translates into a savings of COP322 billion for the Ecopetrol Group and an impact of more than 950,000 tonnes of CO2 equivalent. We continue working on the sustainable development of the communities in which we operate. Today, our Social Gas Program in collaboration with various strategic allies has successfully connected nearly 52,000 homes to the natural gas network in Colombia. Finally, we highlight the financial results of the gas and LPG businesses, which by the end of the third quarter of 2024, accumulated cash and LPG production of 173,000 barrels of oil equivalent per day, representing 22.8% of the Group's total production and 68% market share in Colombia. EBITDA generated during the year amounted to about COP2.2 trillion. I will now pass the floor to Camilo, who will present our Transmission and Roads business line, as well as the main financial milestones.
Camilo Barco: Thank you very much, David. It is a great pleasure to address you in my first earnings call, as Vice President of Finance and Sustainable Value. I would like to express my gratitude for the trust placed in me by the Ecopetrol Group. As the leader of the finance function, my priorities are focused on establishing a solid financial foundation to strengthen the execution of the 2040 strategy through the efficiency program, strict capital discipline and ensuring profitability and value generation for all our shareholders. I would like to begin by sharing the positive results of our Transmission, Roads and Telecommunication business line. This quarter ISA's can be recognized the effect of the periodic tariff revision, PTR, of its main concession contract. This revision, conducted every five years by the National Electric Energy Agency, NEEL, which is regulator in Brazil, resulted in a positive net impact on EBITDA equivalent to COP875 billion and a net income of COP207 billion. This positively leveraged the business line's results, which showed an 8% increase in revenue and 7% in EBITDA, compared to the first nine months of 2023, reaching COP 11.5 trillion and COP 7.5 trillion, respectively. These term results contributed 12% to the group's revenues, 18% to EBITDA and 6% to net income at the end of September, aligning with our strategic objective of diversification within the Ecopetrol Group. Among the most significant milestones this year, we would like to highlight in Brazil, ISA CTEEP was awarded eight enforcement completing 44 transmission grid reinforcements that together will total a CapEx of COP 775 billion. In Colombia, ISA won a public tender from UPME for the construction and operation of Pasacaballos substation and associated lines in the department of Bolivia with a CapEx of COP 83 billion. Additionally, ISA was awarded an expansion to the transmission network in Colombia with a referential capital expenditure of COP 29 billion. Also in Colombia, the signing and closing of the specific agreement of five Internet Boards, which will contribute to reducing the digital gap in the country, benefiting 56,000 families throughout the country with Internet access. In Peru, ISA REP was awarded with the expansion 24 of the Nueva Virú substation with a CapEx of COP 167 billion. ISA continues to advance in the construction of 36 energy transmission projects in the countries where it operates, representing a committed CapEx of COP 28.5 trillion by the end of this quarter. Once operational, they will add more than 5,807 kilometers of circuit to the network and generate approximately COP 1.8 trillion in revenues between 2024 and 2030. For the remainder of 2024, investments of between COP 1 billion and COP 2 trillion are expected to be made due to four projects are expected to come into operation and more than 50 reinforcements and improvements to the ISA CTEEP network in Brazil. Let's move on to the next slide to detail the group's financial performance. Starting with cash flow for the third quarter of 2024, we closed with a solid cash position at the group level of COP 18.8 trillion. Operational generation stood out at COP 35.5 trillion, which includes the collection of the account receivable from FEPC for approximately COP 17.7 trillion. This liquidity will be primarily used to continued execution of the 2024 investment plan and to meet operational and financial obligations. Regarding the main cash outflows, we made CapEx disbursements of approximately COP 16.2 trillion, in addition to dividend payments of COP 14.9 trillion, which include payments from Ecopetrol Asia to the nation and minority shareholders, as well as payments from ISA, midstream subsidiaries and Invercolsato their non-controlling shareholders. As of the end of September, we completed the dividend payment to the nation totaling COP 11.3 trillion, and thus concluding the payment approved at the General Shareholders' Meeting. Regarding FEPC in the third quarter of 2024, COP 4.7 trillion were collected, reaching by September, an 86% recovery of the receivable balance as of the end of 2023. As of September 2024, the receivable balance was COP 9 trillion, the lowest balance since 2021. Ecopetrol continues its joint efforts with the Ministries of Finance and Mines and Energy to implement effective payment schemes and reduce the monthly accumulation of the fund, which has remained below COP 800 billion per month on average since the second quarter of this year. Please move on to the next slide. As of the third quarter of 2024, net income was COP 11 trillion, one, the highest in the last eight years after those recorded in 2022 and 2023, years during, which we achieved historical financial results, supported mainly by a favorable pricing environment and a higher average exchange rate. Compared to the same period last year, net income for the third quarter of 2024 decreased by approximately COP 3.8 trillion. This performance was mainly due to the impact of external factors that by the end of September had an effect of COP 5.3 trillion compared to 2023. Excluding those external factors which are beyond the company's control, normalized net income would be close to COP 16.4 trillion, representing a 10% increase when compared to the same period of the previous year. The main external factors affecting net income as of September 2024 were the lower average exchange rate with an impact of approximately COP 3.5 trillion, the decrease in price, which consolidates the brand reference price and the effect of products and crude differentials with an impact of approximately COP 1.2 trillion; inflation with an impact of COP 0.6 trillion. It is important to note that, due the decrease in the Brent reference price for the third quarter of 2024, the income tax surcharge was adjusted from 15% to 10% with a cumulative effect for the year 2024. As a result, by the end of September 24, we reached nine year highs in the revenues and EBITDA as of the third cumulative quarter, excluding the years 2022 and 2023. In the same way, we maintain competitive profitability levels, supported by 5 elements: outstanding operational performance, high sales levels, competitive group differentials, comprehensive efficiency strategy and ISA's studying revision. As of the third quarter of 2024, we achieved a cumulative EBITDA of COP 42.3 trillion, an EBITDA margin of 43%, maintaining competitive levels compared to our historical results; return on capital employed, ROACE, continues to be above our annual target of 9%, standing at 10.5%. And in addition to what was mentioned in the previous sessions about the efficiency strategy, I would like to highlight that initiatives focused on the cost optimization in corporate and support areas have been included, contributing approximately COP 240 billion. On the other hand, the margin and revenue improvement strategies led by the commercial team have optimized COP996 billion by the end of the third quarter. CapEx optimization initiatives reached COP0.9 trillion for the same period, advancing in the diversification of our business lines as of the third quarter of 2024, the contribution to total EBITDA from the exploration and production business was 58%, highlighting the operational resilience of the segment despite challenging environmental conditions. Likewise, the contribution and stability of our transportation business lines with 20% and Transmission and Roads with 18% have been fundamental in maintaining EBITDA at current levels. Please move on to the next slide. Regarding investments, we remain in line with our financial plan, achieving an execution rate of 86% by the third quarter of 2024 and staying in line with the target set for this year. Investments were mainly performing in Colombia, accounting for 65%, with the remaining 35% internationally, notably in the Permian Basin in the United States with 19% and Brazil and other countries with the remaining 16%. Investment in the hydrocarbon segment holds the largest share of the group's total investment, reaching 67%, equivalent to approximately $2,716 million. In this same segment, investments in exploration and production stand out, amounting to $2,128 million, representing 78% of the total hydrocarbons investments. The remaining 22% consists of an investment in the refining and transportation business lines, focused on the operational continuity of refineries and the integrity of transportation systems. As of the third quarter of 2024, the energies for the transition segment made investments of approximately $556 million, contributing 14% of the group's total investments. These investments focus on the growth of the gas supply chain in the Permian Basin, the Tayrona block offshore and the Piedemonte. Investments in the Transmission and Roads line reached $791 million, primarily in the energy transmission business with an 86% share, followed by the roads business with 12% and the remaining 2% in telecommunications. Please let's move on to the next slide. In terms of our debt strategy, we remain committed to a proactive debt management approach, mainly focused on extending the average maturity of debt obligations, reducing refinancing risk and optimizing interest expense. During the third quarter of 2024, we executed the following transactions. In July, we replaced a syndicated loan maturing in August 2024 by disbursing a committed line of $1.2 billion, maturing in 2029. In August, we began refinancing the bond maturing in 2026 for $1.5 billion through a make whole of $250 million. In October, we disbursed $250 million of a bilateral credit facility to which $250 million of cash were added to make a partial prepayment for $500 million to a trade with international banks. The nominal balance was up $1 billion and maturity in 2030. Finally, we issued a new bond maturing in 2032 for $1.75 billion. The proceeds were used in a tender offer and a make-whole for the remaining amount of the 2026 bond for $1.25 billion and to prepay the receivable value of the credit facility maturing in 2030 for $500 million. The refinancing of the 2026 bond include repurchase of $803 million according to the tender offer; make-whole of $447 million for the remaining balance, with settlement scheduled for November 21st, 2024. All of the above improves our maturity profile and ensures that we have a manageable debt profile until 2028. At the end of the third quarter, our gross debt to EBITDA ratio stood at 2.1 times. Excluding ISA's debt the ratio would be 1.5 times. Lastly, I would like to mention that the rating agency Fitch Ratings recently reaffirmed Ecopetrol's global credit rating at BB+ with a stable outlook, highlighting the company's influence to the country and its financial strength to meet its great obligations as well as to access the global capital markets. I now hand over to Ricardo for the closing remarks.
Ricardo Roa: Thank you, Camilo. I would like to conclude this conference call by highlighting that the operational and financial figures accumulate as of September reinforce the achievement of the financial plan for 2024 announced last year. We are proud of the company's quick and effective response to the challenging circumstances during the quarter. I thank our employees for their efforts. Our exploratory activities remain strong. The last two years have seen the highest investment in the hydrocarbon business lines since 2015, reflecting our commitment to the traditional business. For the rest of the year, our efforts will focus on preparing the operational and financing plan for 2025 to 2027 and consolidating the achieved results. We will continue working to mitigate the effects of external factors and maintain high operational standards, as we have done so far. I appreciate your participation in this conference call. Now, we will begin the question-and-answer session.
Operator: Thank you. We will begin the Q&A session. [Operator Instructions] Katherine Ortiz from Corredores Davivienda. Ms. Ortiz, the floor is yours.
Katherine Ortiz: Good morning for everyone. Can you hear me?
Operator: Yes, we do.
Katherine Ortiz: Good morning, and thank you for this opportunity. I have a couple of questions. One, I'd like to know what was the impact on the net profit of the quarter with the adjustment made on the tax and what would have been the true impact? Second, I'd like to have more information on your -- about something you've been discussing on the news. Ecopetrol is expecting to develop projects for regasification in Colombia, and one is about to begin, , which is close to Chuchupa. Regarding this, could you could share with us the size of this project if Ecopetrol is directly planning to be the investor and operator of this or these plants that have been mentioned. And if this specific project, do you have any information about its cost for its development? That's my second question And third, I have another question. It's -- recently, we have the resignation of two members of the Board. Are these members already replaced? Or will they wait until March? Or the idea regarding corporate conference, do you have -- will you have a special shareholders' meeting before these members leave? Or what's your plan with them?
Camilo Barco: Katherine, good morning again. My name is Camilo. I am the CFO. On your question related to the effect of the exchange on the income tax, it's important to mention that in the third quarter, we saw the reversal of the surcharge of 13% that we had for the first nine months, and we recalculated it at 10%. This specifically has an impact on the surcharge calculated from January to June, and we're talking about COP500 billion on the profit. This means without this figure, the profit of the third quarter would have been close to COP3.1 trillion.
David Riano: David Riano, Executive VP of Transition Energies. With regards to your question on the projects for regasification and Chuchupa project, this is project directly made by Ecopetrol Group. We're making the assessments right now, pre-conceptual design, the permits needed to develop this facility and licenses. As far as its size, it's a result of the analysis that we are making, which keeps in knowing factors such as the amount of gas that it will need to import to sell it in the market. And the period that goes from this year to the moment when we have the resources of the offshore. And also keeping in mind the restrictions that we currently have. And when it comes to expansion of transportation, we're talking about 200 million to 300 million of cubic feet. So here, we're talking basically about the regulatory aspects. So Ecopetrol can import and sell gas. So as we advance with these designs and permits and complying with regulations, we could talk about the specific amounts that will be imported.
Katherine Ortiz : Sorry, I have another question. I'm sorry to interrupt. In terms of financing this project, regarding the gas rates, who would be assuming the cost of this development and the compensation associated so this project can be profitable to make an investment like this?
Ricardo Roa: Sure. Like any project, and in this case, also those of gas, we have to meet the discipline of the principal of the group. So we follow the current commercialization rules and those in the future, the government may have. So when we have the gas at the disposal of market, we will look at these prices. Undoubtedly, a project like this will take place when we have enough information to determine the business case or model that meets the principal discipline. Transferring these figures, like any other project, will follow regulations that are currently enforced.
Katherine Ortiz : Thank you. Thank you for your answers.
Unidentified Company Representative: Good morning. My name is Herman [ph] from Ecopetrol. As to the question you asked about the resignation of the Board of Directors that took place on November 9. This event merits a call or invitation for an assembly. And I'd like to report the following. We have to keep in mind that the power to invite to shareholders' meetings. Special or not is in the hands of the shareholders. And to-date, we have not received any requests to do so. And secondly, when it talks about a special shareholders' meeting, we have to foresee circumstances when they're urgent. The fact that we have seven members today of the nine, we have reviewed extensively that this is not according to our corporate governance, something that allows this vacancy to necessarily have to have a special shareholders' meeting. Why? First, we respect the corporate principles saying that with seven members, we have we have enough quorum of the Board. And if seven, that would be fine. Second, we abide to everything has to do with the minimum number of independent members and also the requirement that we recently implemented to have at least three female members. So all of these principles take place, and we can continue with the seven-member meeting. And what's important also is, if there is a request sent by shareholders at a time when we receive that request and the date of the next shareholders' meeting in March would make it very tight. Because we need 60 days, and it would just go with the ordinary shareholders' meeting. And in 2025, we would need a list with the nine members because according to the bylaws, you can never replace partially, Board members. You always have to manage the list with 9 members. So that's another reason to think that we are -- we would have a hold in the ordinary meeting in March. The way of having these two new members.
Katherine Ortiz: Okay. Thank you for your answers.
Operator: Next question from Juan José Muñoz from BTG Pactual.
Juan José Muñoz: Good morning, Ricardo, Camilo and team. Thank you for the call. I have three questions. First, I wanted to ask you, could you give us more color with JPC with a premium in this last quarter? And what was the posture of group regarding the posture of this JV? That's my first question. Second, I would also like to have more insight on what's happening on downstream. When it comes to the bid margins, they dropped. And you said that, this is mainly because of the fall of the prices of gasoline and diesel worldwide, but we don't see that in Argentina and Brazil. So that's my second question. And third, I'd like to know if you plan special distribution of dividends, considering the current levels of cash flow and the working capital. Thank you.
Julián Lemos: Juan José, good morning. I am Julián Lemos, the acting VP of Strategy and New Businesses. Regarding the future of JV and Oxy, it's important to mention that for both companies, this is a very important operation. We have very good ties with Oxy. We are currently discussing constructively as well, how we can expand the period for the joint venture. It's key to mention that by -- know that by March 2025, we would complete, if any -- we would terminate if either of the 2 parties want to. But again, we're negotiating everything with them constructively. And we understand for both companies, it's relevant to keep that JV.
Rafael Guzman: Juan José, good morning. Rafael Guzman, I'm the acting VP of Hydrocarbons, and I'd like to explain a bit more the margins or the results of the downstream. Perhaps the best explanation is what we showed you on slide. There, you could see that the fall of the margins in the third quarter compared to that last year is because of difference of products, and this is something that we see in every country. That percentage is of 75%. In addition, and this is specifically for us here in Colombia, we had scheduled maintenance, mainly the hydrocracker of Cartagena, which had its first major overhaul. Then this is scheduled every eight years, and it was scheduled this third quarter. In addition to this, with a 9% impact and everything has to do with what's happening in Colombia. For instance, the reduction of transportation Orinoco, which didn't allow us to transport the light fuel to the refineries, and that made our margins drop, as well as strikes in different areas where Ecopetrol operates. And also the power failure, we had at the Cartagena refinery. But keeping in mind that the maintenance and electrical payers have been overcome now, as well as the destructions, and this has been handled and controlled. And we expect that in the future, we can have major recoveries in these segments.
Camilo Barco: Well, Jose, good morning. To answer your question regarding dividends. Allow me by saying, again, everything has to do with our cash flow that by the end of this quarter is a cash flow that's very solvent. And it's important to keep in mind that for next year, we have major commitments with an ambition investment plan that exceeds $6 billion. So I'd just like to remind you the main destination of the resources of the company's cash flow is to serve the operational needs and of course, the investment commitments that we have. With this said, I'd like to specifically refer to the dividend. Indeed, there is a dividend distribution policy of the group that determines that the distribution dividend that should range between 40% and 60%. This year, what we expect is to meet that policy. We are not identifying any special distributions of dividends, especially keeping in mind that next year, we have set out to not increase the level of debt or indebtedness, which is close to 2.1 times the EBITDA. Therefore, and keeping in mind that limit of indebtedness, we do not see any special distribution of dividends. But, of course, this is something that's decided by our shareholders' meeting, who will determine that distribution. Surely, this will be the recommendation by management and by Ecopetrol for our shareholders' meeting.
Operator: We are also with Andrés Cardona from Citibank. Mr. Cardona?
Andrés Cardona: Thank you. Good morning, everyone. I have three questions. One, could you please share with us what's your insight about the decline of the -- of the production company, excluding shaving? What's -- why is this taking place? And how can you reverse this trend? My second question has to do with the lifting cost. Could you please help us understand the level of this cost for production? Excluding gel, because surely, the costs are lower in this type of asset. And my third and last question, looking at the comments of Dr. Dr. Roa on the proposal made by the government to repurchase stocks. Could you tell us which were the comments that you received from the government on that? If any? Thank you.
Rafael Guzman: Good morning, Andres. I am Rafael Guzman, again. First of all, when it comes to the drop of our production, we also showed you a slide that explained that. And clearly there, you can see that we have an increase, a major increase in international affiliates that allow us to see their operation, but also the national or domestic production of oil compared to previous years has grown. We have 508,000 in 2021 and 512,000 barrels per day this year in Colombia. This shows the positive effect that we have with the investments made in different fields like Castilla, Chichimene, Rubiales and the commissioning of the Orotoi plant that we mentioned today. So the domestic fuel, what we're seeing is maintenance or really, the growth production. The big decline that we see in the country, however, is the production of gas. And there, we're taking major actions as well. As we showed in our presentation, we are making big investments in offshore and with discoveries that we have underway to bring gas to the country as fast as possible. And through Gugal through Hocol, we're making major investments in gas. In the northern area of Colombia, we've announced discoveries and new commercials in field. So this is what we're seeing to mitigate the decline of the gas fields in Colombia. When it comes to lifting costs, evidently with the production that's growing in premium and a high production, the cost per barrel is lower than the average in Colombia. The numbers I have is in premium, the cost of the barrel and lifting cost is 1.3, while in Colombia, it's slightly above $13, $13.3 per barrel, and this is the average that we showed of 12.3 throughout the company.
Ricardo Sandoval: Andres, good morning. Ricardo Roa, CEO. First, I'd like to clarify that by law, the nation can reach a maximum of share in our company of 60%. And so this -- and right now, it has 1.5 more without altering this type of company. The elements that I've given -- now my invitation really is not only to the government, but everybody in the country. And all the -- it's based on the fact that -- we have to use mechanisms. And if we were going to make a reacquisition from the nation, or the majority shareholder, to say it better, we would be giving more support to our shareholders because it's sub-valued and we would send to the market, more trust. I'd also like to talk about the returns of the price. And we need to improve the financial indicators like ROE, the ROA. And by reducing the outstanding shares, I would believe that the nation should -- can study and analyze the situation. If there are any shifts on the majority. So, we have to have a proper basket of different types of shareholders here.
Operator: Thank you. The question next is in English. So, please, all the analysts, choose on the globe, the other language.
Ricardo Roa: Thaigo. Good morning and thank you so much for your question. As far as production, yes, we are pleased with the performance of this segment. And we established a goal from 730 to 735 for the year, but we've had better results. Currently, we've had in the second semester, as we anticipated, more maintenance in the production areas and more effects of third-parties. However, we believe that by the end of this year, we will be significantly above 735 and a bit less than the average that we have of -- 750 to 735. But right now, we will not set a new goal. By 2025, we are ending our financial operation, and we see that we will be within the figures that we have communicated in our strategy 700, 750 barrels a day. In terms of lifting costs, for the year 2024, as we've established, we will be at between $12 to $13 a barrel. And this number will be the close -- the number that we'll be using -- seeing also in 2025.
Operator: We'd like to remind all the analysts to please choose the language in which you will ask question. Otherwise, we cannot hear you. Today, we are with Ansalima [ph] from Banco Santander.
Unidentified Analyst: Hi. Thanks for taking my question. I have one here.
Operator: [indiscernible]
Unidentified Analyst: Sorry. [Technical Difficulty] for the back balance in the end of the year. That's my question. Thank you.
Camilo Barco: Good morning, Camilo Barco again. When it comes to the FEPC, let's talk about some figures. Throughout the year, if you remember, at the end of the year 2023, the total balance in favor of Ecopetrol exceeded COP20 billion. Up to now in these three quarters, we received COP17.7 billion. Only -- we only have one payment pending in this last quarter of COP2.8 billion. It's announced by the Ministry of Treasury that payments could take place in -- very soon. When it comes to the balance of 2024, and indeed, this payment of 2.8 in the last quarter, we would have a remaining balance by 2025, close to COP8 billion, between COP8 billion and COP8 billion according to the price levels of diesel and gasoline this year, 2024. So for next year, this balance will be covered throughout the year. We're holding conversations with the Ministry of Treasury and Public Credit, and we will determine the dates and the amounts of these payments according to the availability of cash flow and on the budget of this Ministry Treasury.
Unidentified Analyst: Sure. Just a follow-up here. What do you expect in terms of refining margins for fourth quarter? Could you remind us in terms of seasonality, in volumes for the business and the impact of higher volumes due to stoppage in fourth quarter? Thank you.
Rafael Guzman: Again, it's Rafael Guzman. We expect that the margin will be within what we've planned of $10 to $11. And as I said before, most of the maintenance that we have scheduled for the year were made in the third quarter, and we do not expect to have any in the fourth quarter. So by the fourth quarter, we do expect improvements and more availability because of no maintenance. When it comes to external factors, it depends on the country, and we foresee that we can continue to face these effects, but we do expect improvements in the fourth quarter compared to the third quarter.
Operator: Thank you. Next question is in Spanish. Ricardo Sandoval from Bancolombia is online. Mr. Sandoval, you can ask.
Ricardo Sandoval: Good morning, everyone, and thank you for your presentation. You have answered already several of my questions, but I'd like to follow up on some that you've answered. First has to do with margins. Although, we see in the third quarter, several non-recurrent effects because of maintenance and overall, and failures in the refinery and margins in general, in the consolidated, we do see a trend, lower trend, which by the third quarter reached 40%. I'd like to see if in any scenario, do you see the EBITDA margin of the company below 40% in 2025 with the forecast that you have today? My second question has to do with repurchasing stocks. And I'd like to know, perhaps, do you know or can you tell us what's the legal path for a possible repurchase of stocks? And -- Ricardo, could you please confirm again? Did I get it well? There's a program of 1.5% maximum of the flow of the outstanding shares? Is that so? Thank you.
Camilo Barco : Ricardo, thank you for your question -- or questions. Let me begin with the first one. I am Camilo Barco. Indeed, the EBITDA margin of this third quarter had a level close to 40%, which is relatively low compared to previous ones. And it's worth pointing out that in this quarter, we collect a major part of the external factors that we've talked about. Indeed, we -- this is influenced significantly by the differential of refined products. And as Rafael already answered the previous question, these have practically reached half of the margins, hence that at $11 a barrel. So this is the first impact. The second impact on the third quarter results, and it's also an external factor, it has to do with the Brent. Although so far, up to this date this year, it's at $82, in this specific quarter, with -- it had a fall of $6 per barrel from $82 to $76. And both factors lead us to these levels, generating an EBITDA of 40%. Now we're working on our financial plan 2025-2027. We don't see lower levels, but it's worth clarifying that as we've seen before, the results of the company mostly are seen or influenced by external factors. So with the projections that we have today and the Brent price and the margin of refined products, we don't see that it will be below this margin. However, it will really depend of these external variables.
Ricardo Roa: Thank you. I am Ricardo Roa again. Yes, practically what I said before refers to possibility that our major shareholder will have maximum 90%. So it will have participation up 88.49%. And it can acquire the 1.5%. Second, we already talked about mechanisms, the reacquisition of stocks of Ecopetrol. And the other one, there's another legal figure, which is that the shareholder may increase its share in the company, as I said before.
Ricardo Sandoval: Ricardo, could you please let me know if this has to go through Congress? Does this require something else? Because since the government is the majority shareholders, is this -- do you need an additional process? And also with what we've seen like with Celsia or Samarco's [ph].
Ricardo Roa: No, according to the law, 1186, which says that the nation is guaranteed at least 80% of share of Ecopetrol, that's minimum. And there's also a maximum limit to not lose its condition of being mixed economy corporation. The only legal approval is given by the shareholders' meeting in this case.
Operator: Next question is from Andres Duarte from Corficolombiana.
Andres Duarte: Thank you. Good morning. Thank you for taking my questions. I've got three too, a follow-up to what's been asked before. My first question is, with the joint venture at Occidental, and it has to do with a joint production agreement that was made with Oxy, and it's a production that goes till 2027. So I'm confused regarding the answer you just gave, what you will renegotiate in the first quarter of 2025, what is it exactly? And more specifically, does it also embrace the production agreements? Does it cover everything or a portion of it that joint production agreement is separate? Could you please provide us more information about this? What is negotiated? Is it part of it or all of it? Second question. What's the chance of making or buying electric generation projects that are non-conventional? So, it's basically what advantages do you think that Ecopetrol has regarding environmental alliances and previous consultations compared with the companies that are selling their projects because -- no, why would it be good for Ecopetrol to develop that electrical generation? And third question has to do with Ochua [ph]. I'm sorry, I haven't learned the new name. That's a big bet for you for the country, even for Petrobras. From what I understand, that Colombian offshore, this is the biggest we have besides Brazil. So, what's Plan B for Ecopetrol? If this is not economical -- feasible to produce this gas? Thank you. And good luck with the rest of this year.
Julián Lemos: Andres, good morning. I am Julián Lemos, acting Vice President of New Business. I'd like to clarify that with Oxy right now, we have two contracts. One for Midland, which is a joint venture agreement. And this agreement, as I said before, has a date that's important pacted with Oxy, March 2025, in which one of the two parties can decide to terminate the agreement. Right now, that agreement is under negotiation with Oxy. On the other hand, we have the joint development agreement for the area of Delaware, which is effective until 2027. And so far, it's not part of the negotiation we have with Oxy for that Midland area.
Andres Duarte: I'm sorry. Can I make a follow-up of this answer? Currently, the contribution of Permian, what percentage comes from the first and second regarding production? What does Permian contribute, if possible? If not, I understand.
Ricardo Roa: Yes, Andres. Let's answer your second question while we seek that figure, okay?
David Riano: Good morning. Again, David Riano, I'm the VP of Energy Transition. When it comes to the purchase of projects that are not conventional, firstly, I would like to say that as established in our 2020-2040 strategy, the incorporation of electric energy with renewable sources has the purpose to serve the needs of the group. We are a large consumer of electrical power, 8 terabytes our year, like 10% of the total demand of the country, which we expect that by 2040, will grow significantly, reaching 16 terabytes hour. In that context, access to electrical generation from non-renewable sources in areas that are not where we operate will be made based on the regulation announced by the national government. Regarding remote self-generation. And there, we get to know that regulation, which is about to be enacted. We will see -- but we'll see how we can answer your question regarding the access or obligations regarding the reliability rate. And with regards to the advantages of Ecopetrol Group, when it comes to environmental licenses and prior consultancies compared to other companies to develop the electric energy through non-conventional resources, Sandra Rodríguez will answer this question.
Sandra Rodríguez: Andres, thank you for your. It's important to highlight that Ecopetrol Group has a strategy to comprehensively manage territories and to contribute to its sustainability throughout its value chain. So we have to build trust with a shared vision of the territory with our stakeholders. In that setting, in Guajira, we've been making progress and having great discussions, getting to know the territory, respecting and promoting human rights and promoting human rights, really taking specific scenarios of social investment, promoting, supplying public utilities, social gas that allows us to establish a different relationship with the communities. It's important to highlight how companies of our group are in the territories, creating or building collective spaces. Thank you.
A – RafaelGuzman: Andres, again, Rafael again for your other questions. The contribution of Delaware to produce the total premium in the US is close to 15% in Midland. Regarding your question of Sirius, which is the new name. We are also pleased with the relationship we have with Petrobras. And we've directly heard their top managers who say the importance of this major discovery to them. As far as the development cost and how would this be feasible, there are mainly 3 factors. The CapEx, it's very important, the price at which we sell the oil, but also the amount of gas we have. The more the gas we have, the operational and development costs drop. And as we've discussed before, the discoveries made are quite important gas in place of 6 terabytes per cubic foot. Next year, we plan to drill two new exploratory wells and two structures that are adjacent to this discovery, which would increase the volume. And as I said before, the more the volume, the likelihood of developing this gas economically is higher. So were really aimed at making quick development. We have investments with studies and designs to have a gas produced in Colombia as soon as possible.
Andres Duarte: Thank you. Thank you so much.
Operator: The next question is in English. So please, all the analysts, choose the icon in which you're going to speak. Otherwise, we can't hear you.
Unidentified Analyst: Hi. Thank you so much for taking my question. The question is a follow-up on the dynamic on fuel prices. There was an attempt to raise diesel prices at some point, which was not successful, which means the government will have to continue to subsidize diesel. So the question is, in your interactions with the government, what do you feel like is the plan? Are they going to try to increase diesel prices at some point? Are they comfortable subsidizing diesel prices going forward? How does it impact the budget of the government? So any comments around that would be very helpful. Thank you so much.
Ricardo Roa: Good morning. Ricardo Roa, CEO of Ecopetrol. Indeed, we've been working with these techniques with the Ministry of Mines and Treasury to reduce or to keep reducing the price of diesel compared to what the prices internationally. And the government has focused more on applying the subsidy in two niches of the market for the mass transportation systems in cities and heavy cargo for food. Those are the subsidies. The rest of the niches would be would be subsiding – would be reducing the subsidies substantially compared to what was seen in recent years.
Unidentified Analyst: And if I may, just a quick follow-up. When do you expect for those changes to be implemented?
Ricardo Roa: This is an agenda of the government. And when it makes the decisions, we have no detailed information.
Unidentified Analyst: Perfect. Thank you so much.
Operator: The next question is in Spanish. Sergio Torres from [indiscernible].
Unidentified Analyst: Hello. Good morning. Thank you for allowing me to ask this question. I would like to ask you following the topics of the EBITDA margin this quarter, keeping in mind that it's one of the lowest seen since the pandemic. And keeping in mind all the explanations you provided today, your expectation of this margin is to remain at the same levels, or that it will continue dropping? Thank you.
Camilo Barco: Sergio [ph], good morning. Again, Camilo Barco. We discussed previously our expectations related to the margins. And it's worth underscoring that the margins will depend on the performance of macroeconomic variables and external factors such as the price of Brent, the price refined products, and there, of course, the gross margin refining. Regarding the expectations of product prices, what we're seeing is that the trend will return to levels before those seen in the -- before the pandemic. Remember the year 2022 and 2023 were exceptional, where the margins reached more than $20 per barrel. And it's an exceptional situation that, however, we do not see soon. So possibly in our projections, the margins of products will be closer to the levels we see today. And I'd like to underline also that these products are highly volatile. They are seasonal and depend on winter and summer in other countries. So with these fluctuations, we believe that the prices of products are closer to current levels. And that's why we think that the margins will be, specifically those of downstream, close to current levels. For the projections of next year's, we are working on a financial plan short-term and long-term as well with other expectations on macroeconomics, which will allow us to go to higher margins. But as I said, it really depends on the performance of these variables that are macroeconomic. Also, I'd like to insist that there is a major efficiencies plan where we can have more control, and in which we're focusing a lot. This year, we -- our VP of Hydrocarbons already said that we're exceeding COP2.8 billion. And the idea is that we’ll not exceed only what we plan compared to what we announced last year. But next year, we can have more margins. And there again, we will the EBITDA margins that we have in our goal to maintain and maximize.
Operator: Thank you. The questions next are in English. That's why, please again to the analysts choosing the icon, pick the language in which you will ask your question. Otherwise, we cannot hear you.
Unidentified Analyst: Hi, everyone. Thanks for taking my question. Actually, I do have a follow-up on this CapEx discussion. So far in the year, you have already reached about 9% of the plan for the year. So I mean, what's the outlook here for 2025. And maybe for the upcoming years, could you expect some adjustments on higher investments for the upcoming years? And maybe where are you seeing the greatest investment opportunities, any relevant investments outside of Colombia? This is my question. Thank you.
Camilo Barco : Good morning, Taso, and thank you for your questions. Camilo Barco. On the levels of investment, indeed, this year, we have been meeting execution levels above 87%, closer to 90%. And by the end of year, we trust and believe that we will be not only at the levels planned, but we will meet the goal of 100% of the investments for this year. For the coming years, we have announced an ambitious investment plan -- tri-annual plan that exceeds $6 billion a year. It leads us to almost $20 billion for the next three years. This is in terms of investments, CapEx and our expectations for the three-year term.
Operator: The next question is from Rodrigo Almeida from Banco Santander.
Rodrigo Almeida : Hi. I have a couple of follow-ups here. The first one is on the Permian JV. And I just wanted to get a sense of the practical effect of the decision to extend the Delaware JV? Regarding the development plan for the asset, right? Will there be a CapEx acceleration there? Do we have any visibility of the work program for 2025, especially with the extension with the JV? And my second question is related to ISA in the discussions. And sorry if I missed some of call, and maybe you commented on this, but the discussions on the vertical integration of power, right? And we saw Carillo coming to ISA recently. And I wanted to understand a little bit how can we think about the developments in Congress regarding the potential verticalization for power generation in ISA. Thank you.
Rafael Guzman: Rodrigo, good morning. Rafael Guzman. As far as the investment in Permian, this is a very important asset for us. And our plan is to continue with investments that are similar to those that we've seen this year. This with a JV -- even without it, we could make investments with a joint operating agreement. We also have the Elliott of Delaware, it's called the joint development agreement, and the activity there continues. So in short, we have similar types of investments to the ones we saw this year and results for next year that will be good with a premium.
Ricardo Roa : I am Ricardo Roa. On the vertical integration of activities related with the electrical sector of ISA. The national planning law of this government and several articles of the law of electrical development of the previous government eliminated the possibility for ISA to carry out vertically integrated activities. And this has to go through the constitutional efforts and abide to law 142 and 143. Since -- and when this comes out, ISA can be enabled that legal space to vertically integrated activities. Still, what we're seeing from the Board of ISA and strategic plans include to start to develop now co-related projects and to start look at large-scale storage, electric storage projects. And these are major resources that ISA could use to diversify its portfolio.
Rodrigo Almeida: Perfect. Thank you.
Operator: Today with Bruno Montanari from Morgan Stanley.
Bruno Montanari: Hi, thanks for taking my question. Just one quick question on ISA. The results were very strong given the tariff review process in Brazil, as I understand. So, I just wanted to understand if you expect results to be sustainable at similar levels as we've seen in the third quarter now? Thank you very much.
Ricardo Roa: I'm Ricardo Roa again. What we've seen today in the accounting is a contribution of ISA, and as a result of that, ENEL in Brazil makes of its rates with the balance that's recognized, and it makes it reach COP6 billion. This review is made every five years, and the expectation is that it can -- the same conditions can remain regulatory to make these revisions, these reviews of rates can be sustainable.
Operator: Thank you for now. We have no further questions live. We will read those that were sent in writing. [indiscernible] asks, "Good morning. Congratulations for your results. Could you please tell us why is there's a high difference in the oil in the third quarter in 2024?"
Felipe Trujillo: Morning. This is Felipe Trujillo, the CFO. The explanation basically is for two factors. One, the diversification of geographies through our three offices; Bogota, Houston, and Singapore, which allows us to capture opportunities and to identify our oil in the best conditions. And the second factor has to do with the development or the increase of operations in shipping. This increase in shipping allows us not only to have enormous optimizations, but also to reach geographies or destinations that we didn't go to because of the flexibility that allows us to have shipping that we've had in the -- we've seen in the past two years at Ecopetrol.
Operator: Alejandro Demichelis from Jefferies asks, good morning. Could you please indicate how do you see CapEx and volumes of production for 2025?
Camilo Barco: Well, again, this is Camilo Barco. And Alejandro, good morning. Regarding the investments we would like to repeat. For next year, there's an investment plan that exceeds $6 billion aligned with the investments level that will be made by the end of 2024. And that was announced since November last year. For the following years, 2025 to 2027, the expectation in terms of investments is to maintain the investment levels and to do whatever is necessary to keep production levels. And now we have the words of our VP of Hydrocarbons.
Rafael Guzman: Good morning again. We -- with that sustainable capital investment for production and expansion. We also seek to have production levels and to be within the range that we said when we published our strategy to be between 70 -- 700 and 750 barrels a day.
Operator: Felipe Gomez from Ashford Capital asks, how much does the EBITDA grow or drop for the shareholder of Ecopetrol, meaning the EBITDA that comes from eliminating to minorities in companies like [indiscernible] that impact the results of this quarter and where the economic interest of Ecopetrol is lower than 20%?
Javier Cardenas: Felipe, good morning. I'm Javier Cardenas. When you look at the EBITDA regarding the share of minority shareholders only for the quarter, we're looking at EBITDA of COP 1.4 billion less. Compared to the same quarter last year, it would have been COP 0.9 billion in that same period. The variation essentially has to do with our CEO says. It has to do with the impact of CTP of the COP 0.9 billion of our share.
Operator: Thank you. We have no further questions. Now, let's listen to the closing remarks of our CEO.
Ricardo Roa: We'd like to thank you all for joining us in this results conference call. We guarantee that we're still committed to create value in all of our business lines to protect our traditional business, keeping in mind always that we have here resources for the energy transition that's very responsible. And I'd like to say that we are waiting for the end of this year. Perhaps it will be one of the best years in terms of technical and operational economic performance for the great group of Ecopetrol. Thank you so much.
End of Q&A:
Operator: Thank you, all. With this, we end our results conference call for the third quarter 2024. Thank you for joining us. You may leave.